Operator: Good day, and welcome to the Cracker Barrel’s Fiscal 2023 First Quarter Conference Call. All participants will be in a listen-only mode. [Operator Instructions] After today’s presentation, there will be an opportunity to ask question. [Operator Instructions] Please note, this event is being recorded. I would now like to turn the conference over to [indiscernible] Vice President of Investor Relations. Please go ahead.
Unidentified Company Representative: Thank you. Good morning, and welcome to Cracker Barrel's first quarter fiscal 2023 conference call and webcast. This morning, we issued a press release announcing our first quarter results. In this press release and on this call, we will refer to non-GAAP financial measures for the first quarter ended October 28, 2022. The non-GAAP financial measures are adjusted to exclude the non-cash amortization of the asset recognized for the gains on our sale and leaseback transactions, and the related tax impact and expenses related to the proxy contest and settlement in connection with the company's 2022 Annual Meeting of Shareholders. The company believes that excluding these items from its financial results provide investors with an enhanced understanding of the company's financial performance. This information is not intended to be considered in isolation or as a substitute for net income or earnings per share information prepared in accordance with GAAP. The last pages of the press release include reconciliations from the non-GAAP information to the GAAP financials. On the call, with me this morning are Cracker Barrel's President and CEO, Sandy Cochran; Senior Vice President and CFO, Craig Pommells; and Senior Vice President and CMO, Jen Tate. Sandy and Craig will provide a review of the business, financials and outlook. We will then open up the call for questions for Sandy, Craig and Jen. On this call, statements may be made by management of their beliefs and expectations regarding the company's future operating results or expected future events. These are known as forward-looking statements, which involve risks and uncertainties that, in many cases, are beyond management's control and may cause actual results to differ materially from expectations. We caution our listeners and readers in considering forward-looking statements and information. Many of the factors that could affect results are summarized in the cautionary description of risks and uncertainties found at the end of the press release and are described in detail in our reports that we file or furnish with the SEC. Finally, the information shared on this call is valid as of today's date, and the company undertakes no obligation to update it, except as may be required under applicable law. I'll now turn the call over to Cracker Barrel's President and CEO, Sandy Cochran. Sandy?
Sandy Cochran: Thank you, and good morning, everyone. This morning, we announced total sales growth of 7%. I was pleased with these results, which included comparable store restaurant sales growth of 7.1% and comparable store retail sales growth of 4.3%. Our adjusted operating income margin of 3.6% was also within our expectations and reflected the persistently high inflation that we were anticipating during the quarter. While we believe commodity costs will improve over the balance of the year, inflation across the P&L is taking longer to abate than we had originally expected and continues to pressure margins. Despite the macroeconomic headwinds, our store operations teams are working to deliver a great guest experience, our menu and retail products are resonating with guests, especially those seeking value, and we're tracking to deliver on our strategic initiatives. I believe these initiatives position us well to navigate the environment and drive improved performance over the rest of the fiscal year and beyond. And now I'd like to speak to some highlights from the first quarter. From a culinary perspective, we saw positive guest response to the breakfast initiative that we launched this summer and we believe our guests are reacting positively to our strong value proposition and our focus on hospitality. Our build-your-own breakfast category and our Strawberry Cheesecake Pancakes performed well as did the signature for our chicken platform that we featured in the quarter. Additionally, we saw favorable check mix driven by increased sales of barrel bites, premium sides, desserts and non-alcoholic beverages, and we're happy with the growth that we're seeing with beer and wine. Our retail teams again delivered strong results, especially considering the performance we were lapping in the prior year. We saw growth in our everyday business and in our decor and apparel and accessories categories and our seasonal themes such as harvest and Halloween performed particularly well. During the quarter, we continued to make progress on key initiatives, and we remain focused on hospitality and the guest experience and I was pleased that we sustained our improvements to our dine-in guest metrics. From a guest visitation perspective, the most recent data which is for July through September showed some improvement in our visitation by guests that are 65 and older. While this was likely buoyed by our wrapping delta in the prior year, we were encouraged by this result and are cautiously optimistic that we will see further improvements with this cohort over the balance of the year. We also saw visitation gains with younger guests who we believe are responding to our culinary and marketing initiatives and with lower income guests who we believe are responding to our strong value proposition as they navigate the financial pressures of the current economic environment. We're gaining traction and strengthening our business model, we remain on track to achieve our $20 million to $25 million cost savings goal in FY '23. Additionally, we expanded the test of our new labor system, which is now in over 140 stores and have been encouraged by the results. Lastly, Maple Street is making progress towards their new unit target. They opened three new locations during Q1, which includes two in Texas and one in Georgia. Craig will now cover our first quarter results in greater detail and share our expectations for the fiscal year. And once he's finished, I'll provide some additional details about upcoming initiatives.
Craig Pommells: Thank you, Sandy, and good morning, everyone. For the first quarter, we delivered top line results in line with our expectations, which included total revenue of $839.5 million, an increase of 7% over the prior year quarter. Restaurant revenue increased 7.6% to $662.2 million and retail revenue increased 4.6% to $177.3 million versus the prior year quarter. Comparable store total sales, including both restaurant and retail grew by 6.5%. Comparable store restaurant sales grew by 7.1% over the prior year, driven primarily by approximately 8% pricing, which consisted of approximately 5% carryforward pricing from fiscal 2022 and approximately 3% new pricing. We are closely monitoring the impact or pricing has happened on traffic and check, and we're pleased that we have not seen any meaningful pushback from our guests in this regard. Off-premise sales were 17.5% of restaurant sales. Comparable store retail sales increased 4.3% compared to the first quarter of the prior year. The core and apparel and accessories delivered the largest increases by category. Moving on to our first quarter expenses. Total cost of goods sold in the quarter was 33.5% of total revenue versus 30.9% in the prior year quarter. Restaurant cost of goods sold in the quarter was 29.1% of restaurant sales versus 26% in the prior year quarter. This 310 basis point increase was primarily driven by commodity inflation of 16.7% and elevated freight costs partially offset by pricing. The commodity inflation we experienced over the quarter was seen across our entire market basket were the primary drivers of the year-over-year increase in Q1 were poultry, dairy and produce. First quarter retail cost of goods sold was 50.2% of retail sales versus 48.7% in the prior year quarter. This 150 basis point increase was primarily driven by increased promotional activity and higher freight costs. Our inventories at quarter end were $231 million, compared to $160 million in the prior year, which as a reminder, were below historical levels. In addition to comping over a lower base, most of this year-over-year increase was in our retail inventories and was driven by several intentional actions on our part, including our investments in merchandise to support higher planned sales, especially in our everyday categories and Christmas themes and our acceleration of purchasing in certain areas to mitigate supply chain challenges and to ensure on-time delivery. With regard to labor cost, our first quarter labor and related expenses were 34.8% of revenue versus 35% in the prior year quarter, a decrease of 20 basis points. Wage inflation for the quarter was 8%. Finally, adjusted other operating expenses were 23.1% of revenue versus 23% in the prior year quarter. And our adjusted general and administrative expenses in the first quarter were 5.1% of revenue versus 5.2% in the prior year quarter. All of this culminated in GAAP operating income of $23.6 million. Adjusted for the non-cash amortization of the asset recognized from the gains on the sale and leaseback transactions and expenses related to the proxy contest and settlements adjusted operating income for the quarter was $30 million or 3.6% of revenue. Net interest expense for the quarter was $3.5 million, compared to net interest expense of $2.6 million in the prior year quarter. This increase is the result of higher interest rates and a higher level of borrowing. Our GAAP effective tax rate for the first quarter was 14.7%. First quarter GAAP earnings per diluted share were $0.77 and adjusted earnings per diluted share were $0.99. In the first quarter, adjusted EBITDA was $54.8 million or 6.5% of total revenue. Turning to capital allocation and our balance sheet. We remain committed to a balanced approach to capital allocation. Our first priority remains invested in the growth of Cracker Barrel and Maple Street. Beyond that, we plan to return capital to our shareholders while maintaining appropriate flexibility and a conservative balance sheet. In the first quarter, we invested $21.6 million in capital expenditures, primarily on maintenance of existing stores and we returned $42 million to shareholders in the first quarter through a combination of dividends and share repurchases. Lastly, we ended the quarter with $484 million in total debt. For the full year, we expect our leverage ratio will be within our target range of 1.3 times to 1.7 times. With respect to our fiscal 2023 outlook, I would like to provide some additional color on the guidance provided in this morning's release. Everyone should be mindful of the risks and uncertainties associated with this outlook as described in today's earnings release and in our reports filed with the SEC. We continue to operate in a challenging environment of economic uncertainty that makes predicting the balance of the year are particularly difficult. Consumer confidence, recessionary risks, inflation and supply chain constraints are some of the things that depended on whether, when and how much they shift, can impact our business positively or negatively for the balance of the year and consequently, when we expect to return to higher margins. Predicting becomes even more challenging when we try to weigh the impact of these drivers on particular groups such as over 65 and lower-income guests and travelers. We've seen this play out month-to-month on the sales side since we began our fiscal year in August. August and September sales were strong, but then we saw softening in October. November sales, however, exceeded our expectations due to a strong holiday performance and increased special occasion catering but a slightly lower dine-in traffic. All of this makes the tea leaves more challenging than normal to read as we project out the balance of the year. This also applies to the cost side as we attempt to predict changes in commodity inflation. We expect commodity inflation to moderate, but the timing and magnitude is complicated by market basket wins. For example, lower chicken and pork prices may be offset by higher than anticipated increases in eggs, dairy and produce. Turning to the numbers. We currently expect total FY '23 revenue growth over the prior year of 6% to 8%. In addition to anticipated favorable comparable store total sales growth, this assumes the opening of three to four new Cracker Barrel locations and the opening of 15 to 20 new Maple Street locations. Comparable store sales growth is expected to be primarily driven by approximately 8% total annual pricing. We remain prudent and thoughtful in our approach to pricing and are utilizing multiple approaches to monitor guest reactions to price increases, including pricing holdback groups, first and third-party guest surveys and monitoring pricing flow through. We now anticipate commodity inflation of approximately 8% to 9% for the fiscal year with low double-digit inflation in Q2 and mid-single digit inflation in Q3 and slight deflation in Q4. We now expect wage inflation of approximately 5% to 6% for the fiscal year. We believe wage inflation peaked in Q1 and anticipate lower inflation rates for the remainder of the year. As I said earlier, we continue to expect to deliver between $20 million to $25 million in cost savings during this fiscal year, ending the year at annualized run rate savings of approximately $13 million from the work we've done over the last several quarters. As a reminder, we anticipate restaurant costs and labor and related to each deliver just under 40% of the annualized savings with much of the remaining 20% being realized in other operating expenses. In addition to the above assumptions for revenue growth, commodity and wage inflation and cost savings, our operating income margin expectation contemplates the following assumptions, continued inflation pressures in other areas of the P&L, most notably supplies, utilities and maintenance. Moderation in retail margin compared to the prior year near historic high and incentive compensation normalization, which will have a meaningful impact on G&A in Q3 and Q4. We continue to believe what we said last quarter that our costs will gradually improve as we move to the back half of the fiscal year. While the timing has shifted out a bit so that the benefits of the back half are likely more heavily weighted to Q4. As a result, we anticipate that our second quarter adjusted operating income margin will be meaningfully below the prior year quarter. However, we expect our operating income margin rate will improve in the back half of the year as commodity inflation moderates and our cost savings initiatives gained further traction. As a result, we anticipate our Q4 operating income margin will be well above the first quarter we just reported. Taking all of this into account, we expect full year adjusted operating income margin to be in the high 4% range. We also believe there is upside in our operating income expectation if there were to be further moderation in the commodity environment and potential downside if there were to be deterioration of the consumer environment or if inflation fails to moderate or further increases. Lastly, we anticipate that capital expenditures for the year will be approximately $125 million, including new store investments of roughly $30 million. I'll now turn the call back over to Sandy so that she may share additional details around the business plans and outlook for fiscal 2023.
Sandy Cochran: As Craig outlined, the current environment is challenging to navigate and to predict, especially with regard to inflation and recessionary uncertainty. Despite this, we remain confident in our plans and believe we will see improved performance later in the fiscal year. Now I'd like to speak to some of the Q2 highlights. As a reminder, our second quarter is an especially important quarter for us due to seasonally higher volumes and this is particularly true for our off-premise business. As Craig mentioned, we're generally pleased with our performance in November. We again saw strong demand for our Thanksgiving heat-and-serve offerings, which continue to resonate with guests that are looking to provide a delicious convenient home cooked meal at a strong value for their family and friends, and we're looking forward to Christmas. As you may recall, one of our goals for the fiscal year was to grow our catering business 25% to $100 million. Enhancements to our catering offerings and optimized marketing support have driven meaningful growth within this channel and we are on track to achieve our growth target. Given the prevailing environment, we believe preserving our value leadership is a critical importance and we'll be leaning further into value messaging in the upcoming months. From a pricing perspective, as Craig emphasized, we remain thoughtful with how we're taking pricing and are being mindful to preserve the value sections of our menu and to maintain attractive entry price points. We believe we're striking an appropriate balance of protecting margins and preserving our value strength, and we're closely monitoring guest reaction. Continue to invest in technology to enhance the guest experience, and I'm particularly excited about our completely new app that we launched at the beginning of November, which greatly improves the user experience and reduces friction to make ordering and reordering much easier. In addition to enhancing the guest experience, the new app also lays the foundation for our loyalty program, which we plan to launch during the fourth quarter. Regarding retail, we've generally been pleased with our Christmas theme performance and our overall results quarter-to-date have been within expectations. However, we continue to monitor the retail environment in the face of potential macroeconomic headwinds and aggressive discounting. And while we believe our unique offerings at strong price points resonate with guest and benefits our retail business, we expect our promotional activity will be higher than the prior year, even though it's still well below historical levels. In conclusion, we delivered Q1 results that were within expectations, and we're making great progress on our initiatives. We remain confident in our strategy and encouraged by our start to Q2. We continue to face headwinds, especially from inflation, but expect to see significant improvements to our performance in the latter portion of the fiscal year as our initiatives gain further traction and the external environment becomes more favorable. Before wrapping up, we're happy to announce that Bill Moreton has joined our Board of Directors. Many of you are likely already familiar with Bill, who's a well-known leader in the restaurant space, most notably with Panera Bread Company, where he served in a variety of senior executive positions over several tenures, including CEO, CFO and Executive Vice Chairman. Like Jody Bilney, who recently joined our Board, we've known Bill for several years and have great respect for him. Our entire Board and management team are looking forward to working with him and with Jody as we tackle the opportunities ahead of us. Lastly, I'd like to thank our employees for their continued resilience and their dedication to our brand and our guests. Thank you. And with that, I'll turn the call over to the operator for your questions.
Operator: We will now begin the question-and-answer session. [Operator Instructions] The first question today comes from Todd Brooks with Benchmark. Please go ahead.
Todd Brooks: Hey. Good morning, everybody. Thanks for taking my questions. I appreciate it.
Sandy Cochran: Good morning.
Todd Brooks: If I could ask a couple of questions. One on the inventory side. I know we talked about -- and I think the dollars were up about 45%, most of that on the retail side. And Craig, I think you pointed to timing is still being something as far as flowing product earlier this year versus last year for holiday. Can you maybe talk about what unit inventories look like or I thought we'd be close enough to holiday now that we would have normalized for maybe some of the supply chain friction in the year-over-year comparison. So if we can talk about maybe what you're running for unit inventory increases for retail, that would be helpful.
Sandy Cochran: Why don't I take that one, Todd. Good morning.
Todd Brooks: Sure.
Sandy Cochran: This is Sandy. I'll try to give you a little bit of color. So if you were to break down the increase in inventory, a little more than 25% of the increase is just bringing in product earlier than we would have. And no, that won't really work through the system. And still some of it will see the difference by the end of the second quarter, but certainly by the end of the year because we're still bringing in some. We order so far ahead and about a little over 30% of it then is an increase in inventory to support our everyday business. So I don't have the unit counts. But that's food, personal care and business that we actually would have liked to have had more last year, but it supports you every day. I'd say about 5% of the increase has been in cost increase across the board. So yes, the inventories are up. I'm comfortable with where we're positioned at this point. And as we go through the year, I think you'll see normalizing more in the second half of the year.
Todd Brooks: Okay. Great. Thanks, Sandy. And then a second question, and then I'll jump back in the queue. You have a unique calendar where this upcoming quarter ends in January. So you had the full brunt of Omicron last year. I'm just wondering, can you review for us just -- it seems like it's a while ago, but what -- where staffing levels were in Q2 of fiscal '22? What actions you had to take as far as either unit closures, constrained operating hours, not fully seeing the dining room and just where the staffing position is right now going into the holiday quarter and what type of opportunity that should be on the top line side? Thank you.
Sandy Cochran: Well, we are -- so yeah, it does seem in a way a long time ago and in a way only yesterday of dealing with all the COVID. So part of our expectations for the second quarter do involve us lapping the impact of Omicron which started for us as we see the end of December on or about December 21 or so, is where we really were able to measure it. I can tell you that this year, our staffing levels are -- I mean, we feel very good about where we are in terms of being staffed. Of course, we still have pockets of stores that we'd like to have more, but that was that way pre-COVID. In terms of last year, we were struggling more with staffing, I think, particularly in the front of the house and with servers, as I recall. It was also impacting call-outs. So stores that were even staffed, the impact of the COVID were impacting when staff couldn't come to work. So we did have times where we were having to limit dining rooms. I think there were probably even some stores that had to go to off-premise only. And all of that is factored into our expectations for the second quarter performance. I know probably at some point, Jen will speak to our 65 year old guest visitation. We do think that, that disproportionately hurt us last year since we think that guest was even more sensitive to the COVID concerns. And so one of the reasons we're looking forward to those guests coming back during the second quarter.
Todd Brooks: Okay. And one quick follow-up just on that last point. If I look at the change in the annual revenue guidance, kind of taking the low end down to up 6% from up 7% prior year coming off a quarter that was in line with expectations. You spoke to potentially returning strength in that 65 plus customer why are we dropping the low end of the guidance from where we were revenue wise at the end of the fiscal year? Thanks.
Craig Pommells: It's a great -- it's a very good question. The underlying reason is volatility. So what we've seen so far this fiscal year that started in August is a really strong start to the year. August, September, particularly strong. October softened and November has been doing better than our expectations. So in aggregate, we're feeling confident in our top line estimates. But at the same time, the range of performance has increased. And I think that's a function of just the news that folks are getting and what they're experiencing in their pocket books and gas prices has been moving around generally down, but the news about what's happening in the grocery stores and so on. This is causing a greater level of volatility in results. So as a result, we think the range is a little bit broader, even though we continue to believe in our overall expectation.
Todd Brooks: Okay. That’s helpful. Thanks, Craig.
Operator: The next question comes from Jake Bartlett with Truist Securities. Please go ahead.
Jake Bartlett: Great. Thanks for taking the question. My first one was just a clarification of November. And Craig, in the context of that volatility, I'm wondering whether November outside of Thanksgiving, how that looked? I mean was -- I'm just wondering whether November was solid because of Thanksgiving and maybe the rest was a little more wobbly. Any detail there would be helpful.
Craig Pommells: Absolutely, Jake. Good question. So what we saw with November, and I'll speak -- I'll go back to the entire first quarter in August that were very strong. October softened. And November -- within November, we did have really good performance as it relates to our holiday business, our catering business. Our dining business was a little bit softer than expectation, but it had improved from the prior month. So again, this kind of goes to the overall theme of volatility. In aggregate, we're feeling confident in the overall top line, but there is movement underneath that. So in aggregate, for dine-in, it's still a little bit below expectations, but that it improved from the prior period.
Jake Bartlett: Great. And then I had a question just in terms of that kind of the matures and the boomers and that higher age cohort, improving a little bit. Just noting that the social security adjustment being up 8.7% in '23. How much of the benefit do you think that could be for Cracker Barrel? And maybe in the answer to that, I'm hoping you can give us a update on what percentage of sales of those older -- that older cohort accounts for my impression was about 50% just historically, but if you could just confirm or deny that, that would be great.
Jennifer Tate: Hey, Jake. It's Jen. I would say, in general, our 65 plus guests in spite of things like that social security increase are still we're seeing all-time lows or near all-time lows with their sentiment. And I think that with pressure in terms of food, gas and rent and all of that being up significantly more, right? Food inflation in the grocery store is up 20%. So -- and gas prices, although they're low today, it's been incredibly volatile, up, down, up, down. And so their sentiment is very negative. Their outlook for the future. Their financial and security is very high. So I think even though we have seen some improvement in our trend with our 65 plus guests, there is still quite a bit of recovery left for us with that group. I don't -- I'm not going to get into the exact percentages, but you're way off, right? It's not quite that high, and it's not quite that. It's not quite that high, and it has come down. I think the group we're seeing the most increase with is the younger generation. So for the last several quarters, we've seen an increase in frequency with younger guests, in particular, with the 18 to 34 year old, and we think that is really in part due to the strategic initiatives we've been undertaking, whether that is the culinary and beverage news, the increased focus on targeted digital marketing or the technology enhancements that we've done for them we're seeing a sustained improvement with that group as well.
Jake Bartlett: Great. Yeah. The math I was -- I think was very -- a number of years ago, you talked about kind of in a presentation about a third of the traffic coming from -- and then I believe there were higher frequency. So that's where I got that number, but it's great that it's come down. And so, I also -- Craig, just on food costs, I just wanted to make sure I understand the situation or the picture there. One is, how much is contracting and what kind of visibility do you have in your commodity inflation at this point? Last time you talked -- I think you were contracted really largely through December. And so I'm wondering whether that -- you've continued to contract and whether you have more visibility? And then also regarding COGS, there's been kind of an odd thing that's been happening where COGS are going up more than the inflation and the pricing math would suggest. So inflation of 16.7% and pricing of 8%, just the pure math would get you closer to kind of a little over 200 basis points, and you were 300 basis points. So there's some kind of negative mix impact that's happened for a number of -- a couple of quarters now. And so trying to understand that. It seems like it's really a big driver of really what you're [indiscernible]. So that would be helpful and maybe that gets lapped. So understanding that would be better. It would be helpful. And then just the visibility of the commodity inflation?
Craig Pommells: Absolutely. So there are a few components there. As it relates to the inflation at the COGS potentially outpacing the explicit math, there's a little bit there that relates to freight and that we can cover more in detail in a follow-up. Moving to coverage. We are about 40%, 45% covered. We are in the process of negotiating our calendar 2023 now. And what we're seeing is that the inflation story is going to be -- commodity inflation story is really pivotal to our margin improvement expectations. And we have enough visibility that gives us confidence that inflation -- commodity inflation in particular, is moderating. I think we're all familiar with the downward movements in chicken and bacon. Now we do have some things going the other way, for example, eggs and dairy and some produce items. But in aggregate, our expectation is that produce is going to move down. And what we are experiencing is things are together, meeting our expectations, but it's taken a little bit longer than we originally expected. So as a result, we expect our COGS story, which is going to be a really big driver of our margin improvement and profitability improvement. We expect a lot of that to come to come to fruition in Q4. And at that point, we'll be -- we expect to be well above prior year. So at that point, we have some commodity deflation, and we are also getting more full benefit of the pricing actions. We've been taking multiple pricing actions throughout the year. So all of that together culminates then. The overall expectation is similar. It's not the same to where we started our fiscal it's just pushed out a little bit.
Jake Bartlett: Great. Thank you so much. I appreciate it.
Craig Pommells: You’re welcome.
Operator: The next question comes from Jon Tower with Citi. Please go ahead.
Jon Tower: Great. Thanks. I appreciate you taking the time. Curious, I got a few questions if I can run through it. First, just in terms of how you're thinking about -- or going back to the inventory question on the retail side explicitly. Are you anticipating a greater markdown heading into the holiday through the holiday season here going forward? Are you going to have to kind of get a little bit more aggressive on those markdowns in order to right size the inventory instead of, say, hold for next year's holiday season? And then I've got a couple more questions.
Sandy Cochran: Yeah. I think in the -- as I said and -- or maybe Craig said in the prepared remarks, what we're expecting, Jon, is higher promotional activity than prior year but lower than historical. So I think the team has done a good job of trying to manage more tightly the inventory is, so where it gets allocated initially to stores that we think have the momentum and the demand and then managing the markdowns pretty tightly. So far, I'm feeling good about where we are against our plan. Now with all that being said, as I mentioned, we are really monitoring the overall retail environment because we have to be aware of. And we are impacted by the discounting that may be going on broadly so far, I feel really good. I think our inventory is unique. It's a great value. It's fine. It seems resonating with the guests. But every week, we're managing the sell-through, particularly in our seasonal themes and our great gifts, last minute gives assortments, for example, to be sure that we are being very tightly controlling the markdown spend that we do have.
Jon Tower: Okay. And then just drilling a little bit more into the commentary in the guidance for the year. But kind of looking about -- looking into the fiscal second quarter. I know last quarter, you gave a revenue guide or at least provided the idea that it was within the targeted range on a quarter-to-date basis. Maybe if you could refresh us on where it sits at this moment in time, post November? And then the commentary regarding second quarter margins being meaningfully below last year. Are we thinking something more in line with what was printed in the first quarter either on a year-over-year basis or an absolute level? Just trying to figure out where this all falls?
Craig Pommells: Yeah, without giving the exact number on Q2, I would say first quarter was meaningfully below the prior year and second quarter meaningfully below. So both in terms of order of magnitude, similar explanation there. Okay. And what was the other part of the question, Jon?
Jon Tower: The revenue piece we just got into, whether or not in the...
Craig Pommells: Over November performance was in line with our expectations. So we were pleased with that. And it's a -- obviously, it's a part of the overall 6% to 8% guidance. So we were pleased with it and met our expectations, a little bit ahead of our expectations for November.
Jon Tower: Okay. And with the stickier inflation kind of rolling along and then at the same time, it sounds like you're anticipating deflation in the back half of the year -- or excuse me, in the fourth quarter on the food cost side of the equation. So as you're thinking around pricing shifted at all because obviously, the aggregate inflation for the full year looks to be a little bit higher on food costs as well as on labor and it sounds like some of the other OpEx line items as well. So I think you're running 8% pricing now. Is there any more thinking regarding maybe taking a little bit more price to help offset some of that?
Craig Pommells: It's an ongoing conversation. I think by our fourth quarter, we will be making up a lot of ground in terms of margins. Again, assuming that everything plays out the way that we think. The approach to price over the years has been to be -- we're a value leader. We think that value leadership resonates, in particular, in an environment like this, and we have taken the approach that we can be a little bit behind on price and to ensure that we don't lose the traffic. That played out well in all of the analysis that we've done something that's working for us, and we're going to continue to try to strike that balance between pricing now for margin or taking a little bit longer to price and recover the margin. We do think that starts to come together well in Q4. And could there be more prices, more pricing along the way? Absolutely, there could be. We're monitoring the consumer environment and we're really thoughtful that in what is a really odd time where it's somewhat recessionary and inflationary at the same time, but some of the inflation components are starting to break. So we don't want to get too far ahead on price in. So it's a long answer. Needless to say, we're being very thoughtful about it, and we think all of this will start to come together in terms of margins by Q4.
Jon Tower: Got it. I appreciate that. And then just the last one for me. You've had a few new board members join in the recent past. So I'm curious what the discussions have been -- have they evolved around capital allocation policies at the company since these new board members. And I know one is just joining, I think probably the 1 it was today, but any updated thoughts around capital allocation policies?
Sandy Cochran: Well, the Board continues to discuss capital allocation at every board member -- at every Board meeting. And our new Board members, first, Bill joined today, right? He hasn't -- never been to a meeting. And Jodi's first meeting was a week ago or so. So the -- they haven't had an opportunity yet to have much of they're new. I would say the Board continues to take a balanced approach that prioritizes first, the growth in Cracker Barrel and Maple Street. And then beyond that, we want to return capital to the shareholders through dividends and buybacks, and they are committed to constantly evaluating each of those opportunities and making what they view as the best judgment at the time.
Jon Tower: Got it. I'm sorry, one last one for me. I apologize. When thinking about G&A for the year, how should we think about from a dollar basis where that should settle out?
Craig Pommells: No, we haven't provided that level of that level of guidance. For G&A, what I will keep a couple of things in mind. We have been G&A has inflation as well, right, as wages and everything works through the P&L. Another -- an additional consideration in is in Q4, we are expecting our margins to improve considerably. And at the same time, we are expecting incentive compensation to normalize a bit versus prior year, and some of that will be -- a large part of that will be in G&A. There are also additional investments that we're making to support our digital initiatives like loyalty and so on. So there are a lot of moving pieces in G&A, and we expect to get some leverage what we're also investing and there's some normalization that will happen in Q3 and Q4, but particularly in Q4.
Jon Tower: Thanks for taking the questions.
Craig Pommells: Welcome.
Operator: The next question comes from Brian Mullan with Deutsche Bank. Please go ahead.
Brian Mullan: Hey. Thank you. In the prepared remarks, you mentioned expanding the test of the labor system to more stores and being pleased with what you've seen this far. So I'm just wondering if you could provide a few examples of the benefits those stores are experiencing in test? And then if you could just speak to how quickly you could roll that out to the rest of the system, if you still expect meaningful savings this year -- this fiscal year.
Craig Pommells: Yes. Absolutely, Brian. It's a part of our cost saves, the $20 million to $25 million, and it's embedded in that $30 million run rate for -- at the end of the year. We are pleased with the labor system performance. We've seen solid performance both in terms of productivity but also across a number of other KPIs. So it's just a better way to run the business. It gives the team visibility at a more detailed level than they had before. We're -- like with everything we're being thoughtful about it. We won't be fully rolled out by the end of the fiscal, I don't think, but we'll be close to it. So as a result, that is a component in why that $20 million to $25 million to $30 million at the end of the year.
Brian Mullan: Okay. Thank you. And then just a follow-up. On the Maple Street development pipeline, I think the guidance implies you're going to open anywhere from 12 to 17 more units this fiscal year. Can you just give us a sense into the visibility at this point, how many are under construction right now? And then just related to that, what are kind of the key metrics you're watching as you go down this path? I think you want to accelerate in '24 and '25. But building these yourself is new for the company since it was an acquisition. So just an update on all that.
Sandy Cochran: Let's say, try to think how to -- right now, I feel good that we will be able to open within the range, but the environment in terms of construction and all of that and equipment and so on is still -- there's still a lot of uncertainty. So I guess, we could have some slippage as we have construction delays and so on. In terms of what we look for, and I'm pleased with the openings that we have had, we've been concentrating in Florida, Texas. We opened one, I think I mentioned in Georgia. And so far, I'm comfortable and pleased with the progress we're making. What we're looking for is -- we are opening in a variety of real estate locations. So we're trying to understand better as we build our model of what works and what doesn't. But I'm also looking forward to John MacGuire building his team out. One of the constraints to growth will be whether we think we have the resources and the infrastructure to support the growth in terms of managers and that kind of thing, and I'm very pleased with the progress that the team over there is making in putting that kind of infrastructure in place.
Brian Mullan: Thank you.
Operator: The next question comes from Katherine Griffin with Bank of America. Please go ahead.
Katherine Griffin: Hi. Thank you. First, I was curious to hear a bit more about sort of what you mentioned earlier about leaning into digital and expanding loyalty program. I'm curious if you can just kind of put some more context to that, whether what the sort of objectives are? Is it getting the younger cohorts into the stores more frequently? Is it having access to customer data that you can leverage in some way. I think just more color on sort of the reason behind leaning into digital would be helpful.
Jennifer Tate: Sure. Hey, Katherine. It's Jen. First, I would say this year, we've seen really solid results from the increase in targeted digital marketing that we have done amongst our -- the younger skewing segment. So we've been leveraging the great insights we've had from our segmentation study and enhancing the amount and quality of the targeted digital marketing that we've been doing with those groups, and we're seeing that, I think, pay out as we've grown frequency amongst those groups. Now loyalty, our objectives are really 3 times. I think, first and foremost, it's to drive frequency and traffic really with all of our cohorts, but we definitely have heard in all the research we've done, that our younger guests are very, very interested in desiring a loyalty rewards program. The second objective, of course, is to delight our guests and build loyalty over time to have a differentiated program, which I think we can do because we have this unique brand, very experiential that includes both a restaurant and a very special retail experience, so to build loyalty. And finally, and maybe even most importantly, just to unlock the power of that data for everything we do, whether that's fueling our innovation pipeline, our -- obviously, our marketing and everything we do. So I think that is -- those are the objectives of our loyalty program.
Katherine Griffin: Okay. Thank you. That's helpful. And then I guess like sort of to layer on top of that, I'm curious, just if Cracker Barrel is kind of leaning into a newer, younger cohort that's very different, perhaps from the 65 plus in terms of their purchasing behavior or what they like about the brand, how important value is to them. I'm wondering if there's case to be made that you could maybe push price a little bit more on that customer base as opposed to your -- the 65 plus is maybe pressured in different ways than a younger customer might be. And sort of how you think about how important value is to a newer mix of customers.
Jennifer Tate: Well, first, I'd say, whether you're 65 or 25, the things that really attract people to their brand are very similar. They love the experiential nature of the brand. They live our food, they love the welcome. They just love the experiential part of the brand. When it comes to value, I think everybody loves getting a great deal. But what we are able to see is those younger guests are very open to the mix driving initiatives we've done. So they are very likely to try a crafted coffee like a late or if they're over we can interest them in a Mimosa or one of our signature alcoholic beverages they opt into Barrel Bites, which are Shareables category, our premium size or desserts. So we have been able to entice them into those voluntary check builders. And so they are very likely to opt in to trying new things, higher priced entrees and of course, add-ons.
Katherine Griffin: Okay. Great. Thank you so much.
Jennifer Tate: Thanks.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Sandy Cochran for any closing remarks.
Sandy Cochran: Thank you all for joining us today. I'm encouraged by our start of the year and remain confident in our plans to drive improved performance over the balance of the year. We appreciate your interest and support and wish you all a safe and happy holiday season.
Operator: Conference has now concluded. Thank you for attending today's presentation. You may now disconnect.